Tom Greenwood: Hi, everyone, and welcome to the Helios Towers 2024 earnings call. I hope you and your families are all doing well, and thank you very much for your time today. So I'm Tom Greenwood, Group CEO, and we're very excited to be here discussing our 2024 results, which included record tenancy additions and strong organic top line and bottom line growth. 2024 marks a pivotal point in the Helios Towers sales evolution where we moved into a surplus free cash flow phase of our journey. Our rigorous capital allocation framework is serving us well. First, we invest CapEx in high-return projects to deliver this organic growth. Second, we optimize our balance sheet with the appropriate level of financial leverage. And what we saw over 2024 is that Helios Towers now has the scale in our business model, where recurring surplus free cash flow will be generated with an improvement of $100 million over the course of the year to report $19 million of free cash flow for the full year. Our capital allocation framework will remain firmly in place investing and continuing this organic growth. But with rising returns on our capital, the surplus free cash flow will grow. And so we will move our capital allocation framework focus to the third bucket that of shareholder return. You'll hear more on this topic as the year progresses, and I look forward to discussing this more with you, our shareholders, through the course of this year. So moving to Page 2. We've got the usual lineup for you of me, Tom, Manjit and Chris. And as we see on Page 3, will cover the business, strategic and financial highlights and then be open for Q&A at the end. Now first of all, I'd like to say a huge thank you and well done to all of our people, partners and customers across the business whose collective efforts have driven the strong performance in 2024. The business continues to be optimally positioned in closing the digital infrastructure gap across Africa and Middle East. The region grows faster than anywhere else in the world. Our telecom tower leasing and tower model, which involves hosting multiple mobile operators on individual sites, ensures a robust and predictable cash flow stream, which grows significantly as tower utilization increases with the proliferation and densification of mobile networks. Our business model, coupled with our ability to execute operational excellence has driven 10 years of uninterrupted EBITDA growth at 26% compounded annual growth rate since 2015. There is fundamental and structural growth across the region with population growth of 3% per year, which has been doubling by 2050. Coupled to this, only 50% of the population have a mobile phone today, which compares to 90% in Europe and North America. Subscribers are growing at 5% per year and data consumption is forecast to grow by 4x in the next 5 years, which is double the rate of the rest of the world. Through our laser-focused business excellence strategy, we aim to provide the best customer service in the market and deliver global quality standards to ensure we're the digital infrastructure partner of choice for our customers. In doing so, we support the essential connectivity for the 150 million people who are covered by our mission-critical towers where mobile is often the only available form of communication as well as voice and messaging. This provides the platform for data applications such as banking, education, health, AI, social media and streaming services essential for life in today's world. So in short, our business provides investors with a unique opportunity of world-leading infrastructure growth rates and high-quality cash flow returns to deliver significant value as we move forward in our next chapter. Now to Page 5 for the highlights. In 2024, I'm pleased to report that we delivered very strong growth and exceeded expectations across all key metrics. It was a particular standout year because we inflected the bottom line free cash flow generation for the first time, following previous years of large platform investments. And we're now really seeing that switch in the business and motoring forward, going up the gears and accelerating performance and recurring surplus cash flow generation. We've made solid progress towards our 2.2 by 2026 tenancy ratio, strategic objective arriving at 2.1 tenants per site by the end of 2024, driven by adding close to 2,500 tenants in the year, most of which were colocations, and this was our highest year for organic tenancy additions of all time. The largest rollouts were in Tanzania and Oman, where respectively, 4G and 5G coverage and densification were a key focus. And through our customer partnerships and operational capabilities, we were able to ensure safe and fast rollout of hundreds of new points of service thereby enabling mobile access and improved quality of service to millions of people across the market. Organic tenancy growth and tenancy ratio increased are the main drivers for our strong financial metrics. And in 2024, we delivered 10% revenue growth, 14% EBITDA growth, 1 percentage point ROIC increase and very importantly, a $100 million positive swing in our free cash flow versus the prior year. 2024 was the first year in our history where we delivered surplus free cash flow of $19 million was at the same time, delivering strong top and bottom line growth. This shows our strategy of increasing asset utilization to drive returns and cash flow is very much delivering. Furthermore, our leverage continues to decrease now to 3.98. Our credit rating has now been rerated upwards again for the second time within 12 months. We now stand at BB- with S&P. We move forward with a strong balance sheet with fixed interest costs, meaning that growth in operational cash flow off of a fixed cost base drives amplified growth in bottom line free cash flow. And turning our focus now to 2025. We see the momentum of 2024 very much continue in terms of operational business growth, cash flow generation and leverage reduction. We're guiding to 2,000 to 2,500 tenancy additions, which drives EBITDA growth. And with our CapEx, focusing on high returning tenancies being carefully controlled at similar levels to 2024. All of this drives 2025 bottom line free cash flow surplus up 2 to 3x from 2024 levels and leverage down 0.5 turn again to 3.5. We move into this new territory of lower leverage and surplus free cash flow generation, we're very much looking forward to engaging with investors over the coming months on potential shareholder distributions from 2026. Moving now to Page 6. We can see here that the consistency of our delivery against guidance across the board. We've exceeded guidance on all metrics in 2024, following upgrades and tightening through last year and feel very good about the strength of our team in delivering this performance and our ability to continue our disciplined growth and delivery in 2025 and beyond. The 2025 year for all of us is about the operational metrics driving a steep step-up in surplus free cash flow to our guided range of $40 million to $60 million, and leverage coming down to the mid-3s. And our focus and drive for future performance is backed up by our historical performance as we see on Page 7. 2024 marks 10 years of U.S. dollar EBITDA growth at an annual compounded rate of 26%, showing our resilience and ability to deliver. And the drivers for this are threefold. One, the structural macroeconomic and mobile telecoms growth in our market, which are growing multiple times faster than the rest of the world when it comes to population, GDP, mobile subscribers and data. Number two, our long-term cash flow business model, which provides predictability and I'll come to this on the next page. And three, the strategy and capability of our team to deliver customer service excellence in a structured and methodical way to our leading mobile operator customers aiming to be the partner of choice for all mobile infrastructure needs. With the growth dynamics set to continue for decades ahead and our team's dedication to customer partnership and operational excellence, we're ready to continually innovate and continue this trend for the next 10 years and beyond. Now on Page 8, I'll talk you through our business model. Whilst the operational complexities of running thousands of sites across millions of miles of land, often with poor road and grid infrastructure, can sometimes be highly complex. The high-level unit economics of our business is beautifully simple. We're essentially a real estate and power company for mobile operators and create cash-on-cash returns in excess of our cost of capital through enabling the sharing of infrastructure. We own and operate the passive infrastructure of a site, which means the tower, the power and the security equipment. We guarantee power uptime at close to 100%, providing maintenance and security services at the site. And in this way, the mobile operators have outsourced a noncore but essential activity to us, which means they can focus on the front-end radio and transmission networks and all the intricacies that come with that. Whilst we keep the site powered up and manage site access. So when we buy or build a site, we will always have at least 1 tenant on, the anchor tenant from Day 1. We then increased the utilization of the tower over time through adding colocation tenants. The first tenant, the anchor provides a cash-on-cash ROIC of 12%, covering our cost of capital. And then with the second and third tenant, the ROIC steps up to 25% and 34%, respectively, reflecting the incremental revenue coming through on the relatively fixed cost base. The long-term cash flows and resilience of the business come back about to the long-term nature of mobile networks, which is mirrored in our lease contracts. These are typically 10 to 15 years minimum term, include annual CPI and power price escalators and the majority of our revenue is dollar or euro based. As at the end of FY '24, we had $5.1 billion of minimum contracted future lease revenue across all our tenancies, equating to an average 7 years of lease length remaining. And this is before renewals or adding any new tenancies. This provides a very robust future revenue stream base for the coming years, supporting our balance sheet and further growth as we add incremental tenancies to drive higher earnings and cash flow generation in the future. And on the subject of adding tenancies, let's move to Page 9. And here, it shows our consistent track record of successfully adding tenancies at a 7% to 10% rate every year since 2019. This reflects our 24/7 relentless focus on delivering customer service excellence on power uptime, speed of rollout and overall customer experience to ensure that we work with our customers and partners understand their needs and requirements early so that we can be operationally ready to deliver for them when they need us. Our focus for 2025 is clear, we aim to deliver between 2,000 to 2,500 new tenancies, and we already have a strong pipeline at this point in the year. Now moving to Page 10. I wanted to talk about how our tenancy ratio focus and 2.2 by 2026 target is directly driving ROIC and free cash flow returns. In 2021 and '22, we successfully acquired portfolios in 4 new markets, doubling the size of the platform and diversifying our business on a geographic and customer basis whilst also increasing our hard currency earnings mix. We were acquiring tower portfolios for mobile operators, which are often inherently underutilized and these 4 portfolios came with an average tenancy ratio of 1.2. Therefore, on a short-term basis, this brings about dilution of key metrics like tenancy ratio and ROIC as well as being free cash flow consumptive with over $1 billion invested. Then following ownership transfer to Helios Towers, we said about embedding our operational excellence on the assets to drive efficiencies and most importantly, start adding second and third tenancies to the new towers, we've just acquired. And we've made strong progress since 2022, with tenancy ratio going from 1.81 to 2.05, ROIC going from 10.3% to 12.9% and free cash flow going from $721 million negative in 2022 to $19 million positive in 2024. So in the space of 2 years since our last acquisition, ROIC is in the excess of our WACC and growing, and free cash flow has inflected by almost $750 million to become positive in 2024 and the surplus will be stepping up steeply in 2025 and beyond. Which brings me on to Page 11 to reiterate again, our disciplined capital allocation policy. We continue to prioritize capital efficient and high returning organic growth, principally colocations and selective new builds. This drives our operational EBITDA and cash flow growth meaning that we continue to see lever at about 0.5 turn per year, now being below 4x and heading to 3x in 2026. Having delivered positive surplus free cash flow in 2024 and expecting for that to step up in 2025 and each year beyond. Our cash flow profile and balance sheet will be in the position to support potential investor distributions from 2026, and we will be engaging with all investors on this over the coming months. And finally, M&A continues to be deprioritized for us for the foreseeable as we prioritize organic growth within our existing markets to drive high-quality cash flow generation and shareholder returns. And with that, I'll hand over to Manjit for the financials and look forward to talking with you at the Q&A.
Manjit Dhillon: Thanks, Tom, and hello, everyone. Great to be speaking with you all today. And starting on Slide #13. I'll be going through the financial results. As Tom has outlined, 2024 was a year of continued delivery across multiple metrics and free cash flow inflection as is shown in the chart on this page. On the far left-hand chart, you'll see we've delivered another year of strong tenancy growth, beating our upside guidance and improving lease up by 0.1x. And this has really been the key driver of our EBITDA growth of $51 million year-on-year. And it is the combination of capital efficient growth through co-location lease-up and also leveraging operational improvements, which has driven our return on invested capital by 1% to 13%. And we're expecting similar progression in 2025, expecting to reach 14%. Importantly, we saw an inflection in our free cash flow. We had guided to neutral and ended 2024 with positive $19 million, which is a $100 million increase year-on-year. And you can really see the swing over the last few years on the far right-hand chart, where following key investments to expand to new high-growth markets, we have and will continue to leverage the expanded portfolio to drive capital-efficient organic growth in line with our capital allocation strategy, which Tom just went through. Excitingly, we see the cash compounding returns come through, and we expect to see 2025 ending at circa $40 million to $60 million of free cash flow. I think this page really sums up the key successes of 2024 but also sets up that this is just the springboard for 2025. And now to jump into some of the detail and moving on to Page 14, our sites and tenancy growth. From a site perspective, we saw our sites growing by 2%, representing an incremental 228 sites year-on-year. We are very selective in our approach to new site rollout, ensuring the sites have clear lease-up potential and try to partner with M&As to identify and build in the most attractive locations. From a tenancy perspective, we had record organic tenancy additions of 2,481 tenancies year-on-year, a 9% increase, and that was really driven by our 3 largest markets of Oman, Tanzania and DRC. And we're pleased to see that our tenancy ratio continues to track well to our 2.2 tenancy ratio target by 2026, following a 0.14 tenancy ratio expansion year-on-year, ending at 2.05. Moving on to Slide 15, our revenue growth. We've seen revenue growth of 10% year-on-year with growth in revenues across all 3 of our geographic regions. We have a strong hard currency profile with 68% of our revenues being in hard currency, which translates to 71% of our adjusted EBITDA being in hard currency. Four of our markets are innately hard currency, including DRC, Senegal, Oman and Congo Brazzaville being either dollarized or cased to the euro, meaning that the revenues our customers receive are hard currency, which is also what they pay us. In our remaining markets, we also have a portion of revenues linked to hard currency, adding further to the overall mix. Our earnings are then further protected by contractual protections, including power and CPI escalators. The CPI escalators typically escalating in Q1 and power escalators escalating either quarterly or annually depending on the contract. 98% of our revenue comes from the large blue chip mobile network operators with no single customer accounting for more than 26% of our revenue as you can see in the second pie chart. And finally, we signed into a long-term agreement with our M&A partners with initial terms of 10 to 15 years and are largely noncancelable. Today, our contracted revenue of $5.1 billion has an average remaining initial life of 6.9 years. In other words, we have secured a minimum revenue stream of $5.1 billion without pursuing any new business. And this provides a strong underlying earning stream that we can complement with further growth driven by tenancy rollout. All the dynamics mentioned in the bullet, really do demonstrate the robust earnings stream we have. And moving on to Slide #16, we show how these dynamics work in action. And here, we present the usual analysis showing the key drivers of revenue and EBITDA growth in a bit more detail. As with previous results presentations, the key driver of growth has been tenancy additions with the escalators effectively working to offset macro movements to protect our EBITDA on a dollar basis. And this is shown clearly on the 2 bridges presented here. With power, CPI and FX broadly offsetting one another to ensure growth is driven predominantly by tenancy additions and operational leverage. 10% revenue growth from organic tenancy additions drove 10% revenue growth year-on-year. 15% EBITDA growth from tenancy additions drove 14% EBITDA growth year-on-year. In short, the key driver of growth is through tenancy additions and operational leverage from lease-up and we demonstrate again that the business structure continues to be robust and resilient and operating our designs. And on to Slide #17. Here, we present the correlation between our adjusted dollar EBITDA growth and tenancy additions over the past 10 years. Despite movements in some FX rates and Brent crude as shown in the dotted line, our business model has continually delivered consistent U.S. dollar EBITDA growth over that time and demonstrates an extremely high correlation to tenancy growth with an R-squared of 0.96, which is almost perfectly correlated. Again, this demonstrates that our business has been effectively set up to grow with tenancy additions, which, as you saw in Tom's section, has been remarkably consistent since IPO. And importantly, through structural growth dynamics is expected to continue to grow over the long term and therefore, drive further dollar growth. Now moving on to Slide 18 and look at CapEx. CapEx is tightly controlled and focused on capital-efficient opportunities that drive return on invested capital expansion. And for the full year, we incurred total CapEx of $169 million, which is primarily made up of $93 million of growth CapEx, reflecting the record tenancy growth we've seen this year and $42 million of nondiscretionary CapEx. This was slightly below our guidance, largely reflecting the fact that we had a higher number of colocation additions. And looking out to FY '25, we're guiding to $150 million to $180 million of full year CapEx of which $50 million is nondiscretionary. On to Slide #19. Looking at our leverage and debt. Our net leverage at the end of Q4, decreased by 0.4x year-on-year to just under 4 at 3.98, as 2 decimal place and in line with guidance. We have approximately $255 million of owned drawn facilities at both group and OpCo levels. And together with $160 million cash on balance sheet, means we have over $400 million of available bonds. As a reminder, 92% of our debt continues to be at fixed rates following our successful bond refinance earlier in 2024, and we have no near-term maturities until 2027. Finally, we were delighted to receive our second credit rating upgrade by S&P within a year to be awarded a BB- in February 2025, which reflects a combination of the business performance, but also the improved software and credit ratings of our market with Tanzania, in particular, receiving a positive update. On to Slide 20. We set out a bridge here showing the drivers of our free cash flow. Our strong adjusted EBITDA performance supported portfolio free cash flow growth of 11% year-on-year. Our recurring leveraged free cash flow and the bar that says RLFCF is a metric that reflects the capital available to management to deploy on discretionary CapEx, debt paydowns and/or shareholder distributions. And this increased by 59% to $148 million, demonstrating the leverage on our largely fixed cost finance costs and improving working capital. Importantly, we have now inflected our free cash flow to positive $19 million, as mentioned earlier, and that reflects an improvement of $100 million year-on-year. And with continued execution of our capital allocation strategy, again, targeting capital-efficient organic growth investments, we expect to see further free cash flow growth in 2025 and beyond. Which takes us to Slide 21, where we provide guidance for 2025. As we continue to see progress in our 2.2 strategy, we target between 2,000 to 2,500 tenancies for the year. For adjusted EBITDA, we target between $460 million to $470 million, meaning we are estimating double-digit growth at the midpoint in 2025, CapEx target $150 million to $180 million, of which $100 million to $130 million is discretionary and $50 million is nondiscretionary. Free cash flow, we expect to be between $40 million and $60 million, more than doubling from 2024 levels. And finally, we expect to end 2025 at roughly 3.5x net leverage. All in all, we're really pleased with the delivery in 2024 and the 2 milestones of inflecting free cash flow and our 10th year of adjusted EBITDA growth, reflecting the efforts of our fantastic colleagues and I'm really very excited about the prospects for 2025 and beyond. So with that, I'll pass back to Tom to wrap up.
Tom Greenwood: Thank you very much, Manjit. So I'm on Page 22 now for the takeaways. The -- look, I think the business has really had a good rhythm. And we've got great momentum coming into 2025. We're getting closer to our strategic target of 2.2 tenants per tower, making really good progress on that. The operational and cash flow related items are all growing significantly as we've outlined. And we've got a solid pipeline of further tenancies to come in 2025. As we talked about, big focus on free cash flow expansion this year, doubling or tripling from bottom line surplus free cash flow that we delivered in 2024. And we'll be engaging with investors over the coming months for potential shareholder distributions from 2026. So a lot to be excited about, and we're very much looking forward to it. So I'll hand back to Drew now to take the Q&A. Thanks, everyone.
Operator: [Operator Instructions] Our first question today comes from John Karidis from Deutsche Bank.
John Karidis: I'd like to sort of hit 2 topics, please. One, guidance for adjusted EBITDA in '25 and secondly, frontier risk. So consensus estimates right now are a whisker away from the top end of your guidance for 2025. How do you feel about that? And then secondly, can you talk about the consequences to Helios Towers of the strife that seems to be continuing between Rwanda and DRC.
Tom Greenwood: Thanks very much, John. And I'll take both, and Manjit please feel free to chip in As well. I think the -- we're really very confident about the business performance. The momentum that we're moving into 2025 is strong. I think the guidance we put out is -- it's solid growth, it's in line with market consensus. As we always do, we'll be keeping everyone updated as we move through the year. And we're confident of delivering well this year, like we always do. On DRC. DRC, one of our most exciting markets always has been and there's amazing opportunity that -- we've operated in DRC for 15 years. So civil disturbances have been and is a part of working life there. We've had multiple elections, dollar outbreaks, sometimes unrest. But the key thing we focus on is we operate effectively in these environments by focusing relentlessly on the safety of our people and enabling the critical mobile services to continue. Indeed, we maintain our virtually 100% levels of power upside during these times. And that's the same today as it has been in the past. And that's where our customers rely on us. So we're focused, our DRC team is doing a great job. We've got a small number of towers, immaterial number for the group in the affected area at the moment. And of course, mobile services are very much continuing to support the millions of people who live and reside there.
Manjit Dhillon: Yes. And if I could just add on the consensus point. I mean one thing I would definitely point out here is that from a lease tenancy perspective, if you look back on the last few years, initial guidance, which, by the way, is also challenging, was always around 1,600 to 2,100. We're now effectively saying it's 2,000 to 2,500 from the beginning of the year, which shows a sign of confidence in terms of how we are seeing the year shape up. So I think that's a really key positive. And as I mentioned at the midpoint year-on-year, we're still seeing double-digit EBITDA growth on a dollar basis. So whilst we're kind of keeping an eye on consensus, I think this is a very kind of -- it's going to be a good year that we expect, and we'll see how it comes out during the year, and we'll keep people updated probably at the half year in terms of how we're panning out.
Operator: Our next question today comes from David Wright from Bank of America.
David Wright: A couple from me, please. First, just conceptually on the cash return debate. What are the factors that you think could weigh on your decision making? I would probably propose and I'm sure you would agree with me that stock price does not reflect the value at the end of the business. So that could obviously represent very accretive M&A, so to speak but you also have a liquidity issue. So just how you're thinking about the factors that drive the potential mix? And then the second question is a little bit more top down. One of the attractive characteristics behind your business model is, of course, that mobile telephony is the dominant driver of connectivity across emerging markets because of the poor economics of fixed line. But there's a new player in town, which is satellite. And I'm just wondering to what extent you feel some of the operators are starting to think differently about network topography, whether it is essential to run mobile more deeply into rural areas or whether they might consider partnerships with satellite operators. I'm interested in your thinking around that kind of top-down subjects. Those two questions, please.
Tom Greenwood: Yes. Very good. Thank you. David, great questions. Manjit, why don't you take the first one on the cap-al, and then I'll take the second.
Manjit Dhillon: Yes, absolutely. So look, on capital allocation, not to punt the debate, but the reality is, at the moment, we're still sticking to the capital allocation framework that we have today, which is very much focused on driving the really good organic investments that we have, a real focus on deleveraging and then looking at how that capital gets dispersed after that point. We would very much agree with you that the shares are undervalued. And so as we go through our next phase of engagement with investors and as we continue to update our thinking, we'll be looking at how we then look at that broader capital allocation framework there afterwards. But to my mind, I think it's very exciting on the basis that at this process, we're at the point where we're now going to be generating further free cash flow and it really is then about that decision on how you then utilize it, whether it be dividend buyback, a combination of other thing, we'll have to wait and see. But that's kind of where we see things at the moment.
Tom Greenwood: Yes. And just to add, I mean, clearly, there's a great buying opportunity for investors. I think when the business is inflecting on free cash flow with a clear trajectory upwards and giving itself option on introducing potential new shareholder distribution policies. And by the way, we're inflected on actually bottom line profit net income as well in 2024. So it's really showing the direction of travel of the business and our ability to create real return for investors in the coming months and years. So very exciting time. And then on satellite, yes, I mean, look, great question. Lot of the news about that at the moment. And -- the satellites are a very kind of interesting area because I think what they do, they provide a complement and essentially increase the size of the pie of the connectivity market worldwide. There's huge differences between the spectrum capacity possible in a satellite beam versus a terrestrial beam and just to the extent that there will never be sort of directly comparable from a quality of service point of view with any sort of reasonable number of people using devices under that beam. So to put some numbers around that, a LEO satellite beam has a diameter of between 25 to 100 kilometers. Terrestrial be the diameter of 0.5 kilometer or 1 kilometer or something like that. So the -- and they're both using the same sort of spectrum capacity. So the ability for satellite is very much for rural locations. It's very much for areas that towers and terrestrial networks can't get to, like shipping and airplanes and some IoTs. And certainly, you can have a viable satellite business, particularly one of scale because of all of that kind of growing demand in those areas. But the minute there's enough users in a location [indiscernible] terrestrial antenna. So to extent that satellite companies doing partnerships with mobile operators. We think that's great, that opens up some ubiquitous coverage, to areas that simply be impossible or uneconomical to cover currently. But as and when there becomes a reasonably small mass of users in those areas, there will need to be terrestrial tower put up. So in some circumstances, that could actually potentially see some acceleration of tower deployment, we think, in some rural locations.
Operator: Our next question today comes from Emmet Kelly from Morgan Stanley.
Emmet Kelly: I've also got a question, please, on the DRC, an announcement that actually came from a couple of your telco customers with Orange and Vodacom, announcing a kind of a JV, a TowerCo partnership to extend their networks. And I think they plan to construct up to 2,000 base stations with solar power in that market. Can you say a few words about this? Is this a complementary? Is the threat to your business model? Is this something that we need to keep an eye on? Across emerging markets if telcos are building more of their own towers. And then secondly, just on the capital allocation, you were pretty clear that M&A is off the table at the moment. You said that you'll be selective about BTS. Can you say a few words about building towers, please? Which if you just set the balance sheet aside, would you rather build a lot more towers? And as the balance sheet leverage comes down towards 3, could we expect you maybe to build more towers in the future? So kind of 2 connected questions, please.
Tom Greenwood: Yes. Thanks very much, Emmet. Great questions. Yes, so -- so DRC and Vodacom and Orange are 2 of our key customers there. And we're continually working with them day in, day out. And we very much enjoy working with them and very much continue to do. They're looking at this telco. We saw the release for that. And yes, look, that's very much focused on the kind of rural locations where ARPUs are low, it's not really global to -- or economical at the moment to have full-scale towers. And so we very much welcome that to improve connectivity across DRC. And remember, DRC is actually an outlier versus our other markets, it's over 100 million people but only 60% of those live in an area with any coverage whatsoever today. So there's 40 million people in DRC with no coverage, which is actually different to all of our other markets where 90% to -- well, 95% plus people live in an area of some coverage. So, we're very pleased to see that progression, and we continue to work with both of those customers and our other valued customers in DRC and expect to be very busy this year as well in DRC on new rollout. And then capital allocation, Manjit, do you want to take that one?
Manjit Dhillon: Yes, sure. So this is really about the buy versus -- sorry, the build cycle. We had perhaps a light year in terms of builds during 2024. I think what we've seen actually is some of those builds that we had in the hopper during '24 are actually coming into '25. So we will see a bit of a tick up during the course of 2025. But I wouldn't say leverage is necessarily the reason why we're not building. We will always go and build and look at optimize organic investments. And what I mean by that is there are a number of really attractive build you can do where you have high visibility in terms of potential lease up, which is a good investment. So that will drive return on invested capital improvement, which is ultimately the aim of the game, trying to make that higher than our cost of capital. And as Tom went through earlier, 12% on Day 1, but really steps up their afterwards. And so we will have capital available to do that to support our M&A partners to build. And we'll see a bit more coming during the course of the year. But we are very laser-focused as always, in terms of ensuring that we're trying to find the best locations where it's got the most opportunity to lease up and where we can partner with the most customers possible because that will actually, one, provide better coverage; and two, provide more of the cheaper coverage for the end consumer because you're sharing that fixed cost with more M&A means that the end-consumer should get a cheaper product as well. So it has a ripple on effect and say that's what we do at the moment.
Operator: Our next question comes from Graham Hunt from Jefferies.
Graham Hunt: Just two from me. First one, on DRC, is it possible just to quantify the number of sites you have in regions that you're, I suppose, tracking on the eastern borders that could be a risk? Just to get a sense of the -- your site exposure in terms of numbers? And then second question, just coming back to Starlink. So Am I understanding correctly, is that you're doing -- sorry -- I'll just carry on the second question on Starlink. Am I understanding correctly that you don't see that as a risk to the TAM that you're addressing, if anything, it is on top of? And if that's not right, I'd just be interested to understand with your coverage rollout growth plans, how much of that you see as potentially exposed to alternative models like satellites?
Tom Greenwood: Yes, thanks very much for the questions. Great questions. So on the DRC, the Eastern side. And as I mentioned before, operations are very much continuing there. The mobile service is essential. So there are millions of people who live there as well as the UN, the Red Cross and humanitarian efforts like that. But it's a de minimis amount. It's kind of 1% to 2% of group towers are in that area. So we're keeping a watchful eye on it but from a financial perspective, it's not material. And we expect operationally to very much continue providing service. And on the point around satellite companies, the real sort of use cases there as well as for things like shipping and airplanes and very rural locations. It's -- there's essentially 2 ways of doing it. One is direct to device where largely the satellite company partners with the mobile operator to use a bit of the spectrum that the mobile operator has or it's a Dish Service, whereby you have an untended Dish put on your house and you build it, which uses the satellite frequencies. And the spectrum capacity -- spectrum density of the beam allows for a small number of users on a single beam, which enables people largely living in very rural locations to benefits of it. Obviously you can use in a city but any of very small handful of people can use it in a city before it stops working. So yes, it's very much complementary. And it could, as I mentioned before, leads to potential accelerated rollout of some sites in some locations. This is partly because direct to device, if it happens, could get a few people using phones who didn't before. And then you need to put a tower up as soon as there's a small critical mass. That being said, the pricing point for people in the locations. In Africa is just not viable but that's a potential evolution, albeit difficult. And the other one is actually using it for backhaul. So for -- and satellites have been used to a backhaul for 30, 40 years. So this is nothing new for us to use satellites for backhaul. It's just with the LEO satellites, the pricing point is lower and the connectivity is better than the -- than the previous versions of it. So that could open up more sites and locations where there is no fiber in the ground, and there is no line of sight to the next tower to pin the microwave signal. And usually, the maximum distance you can use for that is about 20 to 25 miles due to the curvature of the earth. So in the past, there is some limitation of where you can put the next tower because you're more than 25 miles from the previous one, whereas with the potential for better satellite back for that could open up a few more locations to do it in. So there's a few ways where there could be complementary elements to it. And that's great. That's exciting for us and obviously, the communities. But in order to deliver real good quality to any kind of mass of people, you need terrestrial antennas because of the capacity requirements on the spectrum.
Operator: [Operator Instructions] Our next question today comes from Gustavo Campos from Jefferies.
Gustavo Campos: Gustavo from Jefferies, fixed income desk team. Just a few questions from my side. Congratulations on the results. Firstly, if I may understand it correctly, your EBITDA margins on your fourth quarter were slightly lower at around like 51%. And as I was trying to understand if that's a one-off. And if you could please elaborate on what happened there? That's my first question.
Tom Greenwood: Thank you very much Gustavo. Manjit you want to take that one?
Manjit Dhillon: Yes, absolutely. So I think in Q4, actually, it was actually coming out at around -- well, for the half year, it was about 53% for Q4 on an EBITDA margin perspective. Actually, it was close to -- yes, it's 53.6%. So there might be a little bit of an error in the north side. But in general, I think as you go throughout the course of the year, this bounced anywhere between 52% to 54%. So we slight behind in the range of that. So yes, I think nothing more to mention there won't any one-offs or anything like that.
Gustavo Campos: Understood. Yes. And the other question, I just wanted to quickly follow up on Graham's question. As far as you know, the conflict in the DRC and the surrounding areas. You mentioned that it represents 1% to 2% of the towers. Is that towers of the total group or just the towers in the DRC?
Tom Greenwood: Yes, that's of the group. But again, just to reiterate, operationally, there's very much continue and service very much continues. And remember Gustavo, we've operated in DRC for 15 years. So we're used to managing complex situations and the mobile networks are absolutely critical infrastructure and critical service for everyone there because there is actually no fixed line and the mobile is how people communicate. So it's a real critical service that we're providing and our teams are very, very experienced in dealing with situations and we move on and we continue to grow.
Gustavo Campos: Understood. Yes, that's very clear and very helpful. I was also wondering if you're planning on meeting with Fitch. I think their update was sometime in the middle of last year. Are you expecting an upgrade from them as well? If you could elaborate on that -- comment on that, that would be great.
Manjit Dhillon: Yes, I can take that one. We've got our annual catch-ups with both Moody's and Fitch actually. So we'll be having hopefully some very constructive conversations with them, as we always have done and from our side, we'll be pushing, and we'll see where we get to on that one.
Gustavo Campos: Sounds good. And Last question, if I may. How much of your discretionary CapEx would you able to reduce if needed? Just trying to understand, we understand that this is focused on expansion but understand your flexibility would also be very helpful.
Manjit Dhillon: Yes, sure. I can take that, too. So in terms of the CapEx guidance we gave, so the $150 million to $180 million. The $50 million is really the CapEx that we need to have to do normal course maintenance and what we call nondiscretionary, i.e., that is something that we very much expect that we will have to be incurring on an annual basis to look after the fleet of towers that we currently have today. Theoretically, and this is why we distinguish between nondiscretionary and discretionary, the i.e., the discretionary CapEx would theoretically be switched off. clearly, as you stand at the beginning of the year. So if you wanted to curtail a little bit of the growth because you're not going to be rolling out tenancies, et cetera, and run it for cash, and that could theoretically go down to your free cash line, but then clearly your EBITDA would be a bit lower. So yes, as it's done at the beginning of the year, the split would be $100 million to $130 million discretionary and therefore, at the disposal of management and the nondiscretionary part, the $50 million is what we would need to do to keep the towers in good order.
Operator: Our next question comes from Rohit Modi from Citi.
Rohit Modi: Most of my questions have been answered. Just a few follow-up and one other question. Follow-up, firstly, in terms of site additions, your discretionary CapEx going down as an absolute amount from last year. If I look at our CapEx, there will be inflation included. So I'm just trying to understand, are you expecting much lower site additions compared to last year? In that case, how much of your tenancies are already committed and tenancies guidance has commented on how much is your -- based on assumption? Second on capital allocation, again, sorry. Just trying to understand what your 3x leverage guidance in '26, I believe, based on not having any kind of shareholder return or that includes some assumption of shareholder return as well? And if not, what could change your view on capital allocation in near term, I mean as you discuss on any rating upgrade or rate changes, anything that could change your view of capital allocation and expect early shareholder return? Lastly, on some new markets, smaller markets, Senegal Madagascar, where you're not seeing the tenancy growth in line with other markets. And in terms of your return on capital, how it looks like in those markets? And what do you think about those markets in the future?
Manjit Dhillon: Sure -- let me add some.
Tom Greenwood: I'll take the second, first and then Manju, you take the CapEx one. And look, I think -- on the capital allocation, I mean we're very much on the track. We're not changing course on the capital allocation. We're very focused on, one, high returning organic growth; two, cash flow generation and deleveraging. And as you mentioned, tracking towards 3 and 2026. And then the third bucket being shareholder distribution potential, which we'll be engaging with investors with over the coming months. So we're very much continuing on that track, and M&A is very much off the table for the foreseeable future. And we're very confident in delivering on what I've just described across the first 3 buckets. And then just on the kind of market questions. Markets at different times are going to have different growth rates. That's just simply a factor of the investment cycles from the mobile operators. And that basically is what drives it. I think we look at the business and the assets on a very long-term basis is an extremely long-term infrastructure assets, which stands for decades. And we're essentially providing that platform for the network to proliferate and densify over time. And in some markets, in some years, it's going to be very busy times in some markets and some of the is going to be quite at times when there's lull in rollout, for example. But the key is to ensure that the quality of assets is high. The assets are in the right locations. And over time, those assets are going to be utilized more and more. So that's our view. And we're very happy with the overall performance of the portfolio as we move into 2025. And Manjit, if you take the CapEx one.
Manjit Dhillon: Yes, absolutely. So from an overall quantum perspective, CapEx was still broadly in line on a year-on-year basis. But one thing to kind of mention is that in prior years, you've had probably higher levels of upgrade CapEx, which is effectively the CapEx that we underwrite as part of our acquisition thesis, that is effectively used to get the newly acquired sites up to Helios standards. So they're ready to colocation, et cetera. That is, as you can see on the chart on Page 18, that is reducing over a period of time, and we can expect that to reduce further. Also the acquisition earn-out payments will reduce as well. So actually, what you're finding is not necessarily a reduction you're finding that the CapEx spend is flicking from being around upgrading acquisition flicking into growth. So we'll see a bit more coming through on that basis. And all things being equal, we will see a few more sites being built during 2025 than we did see in 2024. But again, this expands the base to which we can then drive that really high returning colocation growth on top. So yes, I think that's to be a pretty good year in terms of the capital deployment.
Operator: Our final question today comes from Ulle Adamson from T. Rowe Price.
Ulle Adamson: Congratulations again on the good results. Just regarding your clients in countries where they sort of receive revenues in local currencies. Do you get sort of any of them approaching you and trying to renegotiate the contracts which you have as you say, most set up in a way that it's effectively in hard currency in several cases? Is that sort of a widespread tendency for that? And secondly, just as your willingness to outsource this service from the mobile operation across Africa. Do you sort of see that, that willingness is growing or decreasing given that some of the examples of some of those operators being hurt by the hard currency contracts?
Manjit Dhillon: Sure. So, I'll take the first part of that question. So in terms of the more kind of local currency market, I think the key distinction and the important part here is that when we do get a portion of revenues that might be linked to hard currencies, it is more often than not on a minority of our overall contract. So it's more in the periphery than being necessarily asking in the local currency market to receive 100% or a large portion of the revenue to come through to us in hard currency, i.e., passing all the FX risk onto the mobile network operator. So in that regard, it's more fairly shared and therefore, more sustainable. Just is it an area of conversation, occasionally, so I think what we provide as well is stable pricing point as well. So on average, across all of our contracts, we provide a pricing point that is 30% lower than the total cost of ownership that it would cost the mobile network operator to operate the sites by themselves. And what that, therefore, means is that you have that buffer between what we are providing, not in term quality in terms of what we're providing but from a price point, that means if there are these kind of areas where sometimes FX might be a little bit of a determining factor, you've got that buffer to say, well, actually, we're actually still providing this at a vast, vast improvement versus what you can do yourselves. And that, therefore, gives us a little bit more sustainability and also why you see year-on-year, we resigned contracts, you don't see a change in our contracted revenue base or our contracted earnings. And that's kind of the proof point of it there. In terms of the propensity for mobile network operators to try and partner with tower companies, including ours, particularly in our markets, I'll start and then Tom, please feel free to add in. But I think that pricing point and the quality points are really critical on this -- in this journey. The fact that we are able to provide the highest levels of power uptime speed to market around really does put us at a competitive advantage, not just against peers, but also against the mobile network operators doing it themselves. And we're able to do that through an efficiently and keep that network up and running to the highest doubles, almost perfect power in a lot of situations when there's an imperfect broader infrastructure environment. And also, we have a very, very good, expanded portfolio, which is always ready for lease-up. So if an MNO does want to roll out, we more than often are not in very, very valuable locations, how that site ready to go. So we can go to the MNO proactively to say, if you want to put your equipment on our site, you can often go within 24 hours, meaning that they're able to get that revenue almost overnight on the investment that they've made in their active infrastructure. So we're not seeing any reduction. And in fact, given the guidance we've given for the year, of 3,000, 3,500, what we're effectively saying is we're seeing that partnership deepen and slight accelerate.
Operator: That does conclude today's Q&A session. I'll now hand back over to Tom Greenwood for closing remarks.
Tom Greenwood: Thank you very much, everyone, today for dialing in and spending time with us. And thank you to everyone asking the great questions we just went through. We're really looking forward to seeing a lot of you on the road show over the next couple of weeks. Look forward to more discussion. And we're really excited about the business for this year and beyond. The business is really motoring forward and generating high-quality cash flow. We're going to keep performing. We're going to keep delivering for our customers the world-class service that we aim to day in, day out and we're going to continue growing and generating those cash flows. So very much looking forward to engaging with everyone over the next couple of weeks and through this year and beyond and take care and have a great day.